Tom Erixon: Good morning. And -- good morning. Welcome to Alfa Laval’s Fourth Quarter Report. And we are in a newly inaugurated studio in Lund, so transmitted from here first time. Hope all will work well. Together with me, I got Fredrik Ekstrom, our CFO, and we will run through the normal presentation. You will lose our team picture during the actual presentation and then we will be back in full picture as we move into the Q&A session. I also want to alert you that due to a bit of time pressure on the schedule today, we will have to run the Q&A a bit shorter. So approximately at 10:45, we will have to discontinue. So I hope you can have some understanding for that. And with that, as always, let me go to a couple of introductory comments. Now, first, obviously, as you have seen, demand remains strong in Q4 with record levels of order intake across several businesses. The outlook also remained positive overall. Secondly, the global supply chains continue to stabilize with solid invoicing and improving cash flow in the quarter especially towards the end. But thirdly, the energy transition drives demand beyond normal growth rates and existing capacity limits. To support our customers -- customer base, we announced the largest investment decision in our history yesterday amounting to SEK3.8 billion. In balancing the decision between a weaker global economic outlook and supporting the global reduction of carbon emissions, the climate was the winner. Finally, we charged SEK440 million in the quarter. The earlier announced restructuring program is progressing as planned, with changes in the Marine Division and the Energy Division. We have also provided for all our remaining exposures in Russia as the wind-down of our existing operations continued as earlier announced. The decision in February 2022 was to stop all new orders, cancel all sanctioned contracts on the order book, the legal entity is gradually becoming non-operational as we move into 2023. And with that, let me go to the key figures. Both order intake and invoicing grew in fourth quarter with approximately 15% organically. Sequentially, the growth was about 4% organically on order intake, slightly better than expected and guided. Earnings improved on the back of higher invoicing with some downward pressure on the margin. The main margin challenge was related to the specific businesses included in the restructuring activities. Going then on the divisional level starting with Food & Water, we had a good quarter overall with good demand and an exceptional invoicing. A few end markets and China specifically were a bit weaker in the quarter. Margins held up well, supported by good performance in the engineering business, both regarding Desmet and our own food system, reaching double-digit profitability both of them. Going to the Energy Division, the strong demand in the invoicing trend continued in the quarter, supported by several applications related to the energy transition. The margin decrease compared to last year was mainly due to the Business Unit Welded now being restructured. The cancellation of the Russian order book and the earlier softness in the fossil investment cycle created significant utilization and load issues in Business Unit Welded, improved order intake in Q4 and the planned actions and restructuring is presumably improving the situation during 2023. The Marine Division had a very strong demand and a record quarter in terms of order intake, supported across most of the portfolio, both in applications related to sustainable shipping and the more traditional offshore business. Specifically, demand improved for cargo pumping in late December with improved factory load expected from Q3 and onwards. The margin improved sequentially in the Marine Division due to mix and volume, but we still have some work to do during the first half of 2023. As indicated before, the second half of 2022 and the first half of 2023 is likely the bottom of this cycle when it comes to the margin development. Moving on to Service, grew to record levels and beyond our expectation. The trend was positive across all three divisions. As said many times during the last six years, the work to strengthen our service offering is paying off. In addition, we may have an element of pent-up demand from the period of the pandemic, supporting the growth numbers even further. Then on to the regional picture. All regions, including China as a whole, had a good development in the quarter. Russia is now removed from the comparison going forward, but even with Russia included in Q4 2021, the numbers for Eastern Europe was still positive year-on-year. A final comment on the order intake as a whole. If you consider the last three quarters, it puts us on a running rate of approximately SEK60 billion on average when it comes to order intake. After hovering around SEK40 billion plus in 2020 during the pandemic, the growth is exciting, but also somewhat challenging. Customer service remains the priority for us, resulting in higher than normal operating costs. If demand remains stable, we should gradually resolve the imbalances in our supply chain as we move into 2024. And with those comments, I hand over to Fredrik for some further financial details.
Fredrik Ekstrom: Thank you, Tom, and good morning. During quarter four, we have delivered a record amount to our customers, in part due to the improving supply chains and in part due to the high backlog and order intake we have had over the last 12 months. Sales closed at an all-time high of SEK16.5 billion in the quarter and SEK5.1 -- SEK52.1 billion for the year. The gross profit has in most business units had a good development in the quarter. Our pricing initiatives have offset a good part of the inflationary pressure and the overall margin also reflects a positive mix in capital sales. Invoice backlog with orders taken prior to 2022 and low factory loads in Business Unit Welded Heat Exchangers and Marine Pumping Systems affect the margin negatively. The underlying negative contributions are being addressed through the restructuring programs that Tom mentioned in his introduction. Sales and administration expenses were SEK2.1 billion during the fourth quarter and SEK7.9 billion during 2022. The full year corresponds to a 15% of net sales. If you exclude currency effects and acquisitions, sales and administration expenses increased approximately 10%. That increase shows a return to normal levels after the pandemic years. The cost for research and development during the fourth quarter corresponded to 3% of sales, an increase that marks a return to pre-pandemic levels and increased innovation ambition. Earnings per share were at SEK10.89 by the end of the year, compared to SEK11.38 the year before and corresponding adjusted EPS numbers are SEK12.78 versus SEK12.98. Q4 sales of SEK16.5 billion represents a growth of 41% compared to last year, of which 14% was organic growth, 11% currency related and a final 16% related to acquisitions where Desmet contributed with SEK1.9 billion. Service sales constituted 28% of the Group’s net invoicing in the fourth quarter and 30% for the full year. In summary, a solid sales quarter that saw the first even if modest reduction of backlog in quite some time. Summarizing 2022 sales reached SEK52.1 billion, which is 27% better than 2021, of which 11% was organic, 10% currency and 7% structural, of which Desmet represents SEK2.5 -- SEK2.1 -- SEK2.5 billion. It has been a turbulent year with continued supply disruptions, capacity imbalances, lockdowns, rising inflation, rising interest rates and continued uncertainty driven by Russia-Ukraine war. Given this, it is reassuring that the demand from our customers remains strong and prioritized. Sales in quarter four yielded an adjustment -- adjusted EBITDA of SEK2.5 billion, corresponding to 27% growth, of which 6% was currency related. That yielded a margin of 15.3%, which was diluted by FX with 0.6% and structure driven dilution of 0.5%. The overall margin reflects that our pricing initiatives to a considerable extent have offset inflationary pressures and a positive impact from capital sales mix. The low factory loads and backlog orders taken prior to 2022 are affecting the margin negatively. Adjusted EBITDA for the year ended at SEK8.2 billion, which is 16% higher than 2021 with a currency component of 5%. Finally, adjusted EBITDA margin for the year of 15.8%, which is in line with expectations. From a cash flow perspective, the increasing EBITDA contribution is materially offset by working capital movements. Record high sales have increased accounts receivable with SEK2.1 billion and decreased the balance of advanced payments as sales are recognized with a heavy impact in quarter four and for the year. Supply chain disruptions have eased towards the end of the year. However, COVID lockdowns in China and the war in the Ukraine have created uncertainty that continues to persist in high inventory levels. Initiatives to reduce and optimize have already been started and will continue during quarter one 2023. Nevertheless, the cash flow is impacted negatively with SEK3.1 billion on a full year basis. Cash flow from operating activities in quarter four amounted to SEK1.7 billion and SEK3.3 billion for the year. CapEx of SEK1.9 billion were primarily allocated to capacity increasing initiatives and acquisitions to the tune of SEK3.7 billion included Desmet at SEK3.4 billion, Scanjet at SEK237 million and BunkerMetric SEK13 million, closing quarter four and the year with a positive cash flow and free cash flow. We are increasing our CapEx guidance to SEK2.5 billion to SEK3 billion per year over the next three years to four years in order to capture growth opportunities in the area of energy transition and service. In quarter four, we have also quantified and charged two comparison distortion items and cost provisions. The first one related to the restructuring program covering Marine Division and Business Unit Welded Heat Exchangers as communicated in the last earnings call. The program will address capacity imbalances in the supply organization and reposition for future business. A restructuring charge of SEK367 million has been charged in the fourth quarter and the expected payback in approximately two years. The second one relates to Russia, as Tom has already explained. Closing backlog in quarter four shows the first modest reduction of a historically large backlog with a book-to-bill in the period of 0.96. The acquisition of Desmet and Scanjet increased the backlog with SEK5.7 billion at the time of acquisitions. Excluding currency effects and adjusted for acquisitions, the order backlog was 30% higher than the year before. On to some guidance, as mentioned before, CapEx guidance will increase to SEK2.5 billion to SEK3 billion per year. Currency impact is expected to be positive based on currency rates per closing of 2022. Amortization of step-up values continues with a modest increase in 2023 to start declining in 2024 with current structure. Tax rate guidance remains in the span of 24% to 26%. The Board of Directors proposes a dividend of SEK6 per share, equal to the dividend of last year and to be voted on the upcoming AGM. And then a final guidance, we going forward are going to change the way we report our divisional numbers going from EBIT through adjusted EBITDA level. This to simplify how we communicate with the market. Below follows a conversion in anticipation of the quarter one report where we will implement this change. And with that, I hand back to Tom for some closing comments.
Tom Erixon: All right. Thank you, Fredrik. And then to the outlook statement and let me first say that of course, we are acutely aware of the concerns on the macroeconomic situation in the years to come. We see how the business down cycle is affecting many parts of the businesses on the consumer side. On the industrial side, we still haven’t seen those effect and we haven’t seen them in Alfa Laval’s end market. So in that perspective, we see an unchanged situation as we move into Q2 sequentially compared to Q4 on the Group as a whole. We may see some variations between end segments and divisions. Specifically in the Energy segment, we expect an unchanged demand, in the Food & Water Division we may see somewhat better conditions and in the Marine Division after an all-time high and super strong situation in Q4, we may see somewhat of a softer market conditions coming into Q1. And so, with that, we are happy to take questions.
Operator: [Operator Instructions] The first question is with Gustaf Schwerin with Handelsbanken. Please go ahead.
Gustaf Schwerin: Hello. Thank you. Gustaf Schwerin with Handelsbanken. On the strong Marine orders in Q4, how much do you think the alternative fuel contracting explains the organic step-up year-over-year? How many of the capable vessels in contracting are actually installing the additional equipment you believe? And maybe also on the pumping systems, were you surprised about the timing of the large orders and are you getting feel as the tanker ordering is really picking up here? Thank you.
Tom Erixon: Yeah. The trend is clear towards multi-fuel solutions. I don’t have the percentage numbers exactly on my hand. But the trend is going in that direction. It does impact us positively as we indicated several times. So you are correct in your assumption. It is a contributing factor to this. But, all in all, we see a pretty strong demand across the Board. So it was not a unique feature in the growth story for the quarter, but it’s certainly pointing in the right direction. And I remind you that this is also part of replacing the old historic back -- order backlog specifically for boilers that we are now moving into -- related to new orders and multi-fuel and so forth. On the cargo pumping, as I tend to say, every quarter is a surprise. The lead times on those orders in terms of dialogue with customers tend to be very short. So we have been cautious and anticipating anything. And in fact, the main part of the orders came in second half of December. So in that sense, it was a good ending on the quarter, we knew that there is a good demand out there in the pipeline and so it was good for us to see.
Gustaf Schwerin: Okay. Thank you.
Operator: The next question is from the line of Nancy Ni with Goldman Sachs. Please go ahead.
Nancy Ni: Hi. Great. Thank you for taking my question. And I just wanted to go back to your CapEx announcements. So I know you mentioned this was driven by sort of strong energy demand, but I am wondering, is this backed by current orders or future sort of expected market developments? And I guess on the back of that, given that you are doing this, how much room is there left for sort of M&A or cash distribution?
Tom Erixon: Well, let’s start with dividend policy. The dividend policy is not expected to change in any way. We have a guidance on that when it comes to share of net profit. So that has not been under debate. I think for M&A, our balance sheet remains strong. But I think -- so I think the aspects on M&A is less about the balance sheet and more about the fact that, of course, the -- it’s got to be attractive acquisition targets in order to compete with our organic opportunities and so the bar is set high at the moment. When it comes to the CapEx, obviously, there is a lead time in implementing the changes. We have an unusually accelerated process for implementing the program. So we will be far into completing a lot of this as we reach the end of 2024. So in that sense, of course, it’s future order, but we are not making this type of capital allocation without a tight dialogue with customers and expectations on the market.
Nancy Ni: Great. Thanks. Maybe just kind of going back to your first answer, will you be revisiting your buybacks anytime soon then?
Tom Erixon: Well, in hindsight, maybe we should have made a different call, but we were looking at an over loaded balance sheet at the time and not a clear pipeline on M&A either. So we wanted to show that we were diligent when it came to how we look at our cash and our balance sheet buildup. As we see it now, I think, buybacks will be far into the future before we are back in that situation again.
Nancy Ni: Very clear. Thank you.
Operator: The next question comes from the line of Massimiliano Severi with Credit Suisse. Please go ahead.
Massimiliano Severi: Yeah. Hi. Thanks for taking my question. My question would be on the sequential improvement of margins in Marine even from a relatively low base. I was wondering if you could comment on the moving parts, whether it was FX hedges improving price cost issues on boilers improving or the operating leverage on tankers, so what got better in Q4 versus Q3? Thank you.
Tom Erixon: Yeah. It’s a relevant question, as we -- as -- I think as I said the last time, when it’s bad, it’s sometimes not as bad as good and when it’s good, it’s not always as good as it looks. There are moving parts in this. I think sort of we are not out of the trough. That’s what I want to be clear about. We have a couple of quarters now with when we would -- remaining to work with low load on cargo pumping and we will be in transition when it comes to the restructuring and we do have elements of the order book left to deal with from the oil pricing. So structurally it has not changed. What has changed is that I think the demand situation has certainly accelerated. The mix has been in the quarter going favorably. The service growth is bigger than expected and stronger than expected. And all in all, I think, we are progressing on the cost side in a good way. So I think what you should interpret the margin development sequentially is that, I think, we have it under control. We know where the problems are. We feel confident we have a way forward in 2023. And so, for me, it was more a sign of that we will -- we are in a level from which we can build the future platform and that’s okay. We may have some up and down variations in the next two quarters or so, but 8% last quarter was probably as bad as it possibly could get.
Massimiliano Severi: Clear. Thank you.
Operator: The next question is from the line of Max Yates with Morgan Stanley. Please go ahead.
Max Yates: Thank you. Just my question was around the Services business. So you have obviously seen kind of very strong Services growth this year, 15%, even stronger in Q4. So I just wanted to understand, could you maybe help us understand a little bit what’s happening here? Is this sort of more a case of price than volume, is this kind of disproportionate to one division rather than another, is it your own kind of internal initiatives coming through or do you think you are kind of broadly growing in line with customer activity levels? I am just trying to understand a little bit better kind of the moving parts behind what looks like a very strong number?
Tom Erixon: Yeah. The -- I think there might be a small element of pent-up demand that is coming through in 2022. I don’t think it’s a big cyclical element, but we see it in the Marine Division that onboard services, for example, that was obviously down during a period of time is catching up. We also have a situation where a lot of the ship owners are in good profits, freight rates are, generally speaking, good and so there is a big eagerness to keep the vessels in good shape at this moment. So there are some factors here that is supporting an underlying service volume that is better. But you are also correct that, of course, and this is an issue when you look at our numbers and anybody’s numbers at this point in time with big currency swings and an inflation that is affecting cost, but also prices, the volume analysis is a bit different than it has been historically. So there’s clearly a price element on the Service business that you need to take into account. I am not going to throw a specific number. There are variations depending on service scopes and so forth that affect these numbers. But I think you can safely assume that 5% plus is probably somewhere north of that is -- or price adjustments, if you want to think about the volume side. I think what is good…
Max Yates: Okay.
Tom Erixon: … from our point and then let me just finish off by saying that, when we look at all the service scopes, whether it is service work, spare parts, whatever, the trend is pretty similar across the Board. So I think it’s a fairly broad-based service growth trend we are looking at at the moment.
Max Yates: Okay.
Tom Erixon: Sorry. Go ahead.
Max Yates: And so if I could have a quick follow-up just on the Energy margin and I understand you completely said when we went into this year that sort of 21 was -- 21% was sort of not where, it was too high and not where it should be. We have obviously exited this year at a bit lower kind of close to 16%. We are averaging 18% at the full year -- 18.3% at the full year. So I just wanted to get a sense of when you look at the Energy margin, I feel like this quarter is maybe a bit lower than where it should be normally, but is that sort of 18% the right sort of level that we should think about in aggregate? I am just trying to sort of understand a bit how to think about what you would view as a more normalized margin for your energy business going forward?
Tom Erixon: Yeah. And as you know, I don’t like to guide you when it comes to your margin assumptions. But what I would say is that, the -- a fairly big difference between the 18% and the current level is related to financially nonperforming units, so everything else being. So I would say if I look at the rest of our portfolio, margin development has been relatively stable over the last -- well at least the last year and maybe even a bit beyond that. So the movements that we see are generally speaking related to Business Unit Welded and the big and the capacity and low utilization level that we faced coming into 2022.
Max Yates: Could you just help me understand, so what is it about Welded Heat Exchangers that mean they are particularly weaker? Is it some kind of change in customers, I don’t sort of fully -- I don’t know enough about to know exactly what drives?
Tom Erixon: And I will take that as a, because we are a bit under time pressure. So I will take that as the last question from you. But if you look at our Energy Division, the Welded applications are the ones that are, by far, mostly exposed to the fossil industry. That’s the main application for Business Unit Welded and prior to 2022 where we already entered a lower demand cycle from the fossil industry and so we saw that. Then one of the major countries, as you well know, when it comes to the fossil side is Russia, and consequently, we had a big order portfolio related to Russia and that was all canceled and scrapped, both the formal order book and the signed contracts that were not formally booked. So in fact, we wrote off a very significant amount of orders in February last year and that left us with a number of units with exceptionally low capacity utilization. So that was -- that is the operational problem for this year. The strategic decision though and that you are well aware of since we -- since a couple of years back is that, we have a view that the fossil side will follow us another cycle or so, but moving towards 2030, probably, this is going to be a very minor part of our business portfolio overall and what we can transit in the existing portfolio from fossil to green is probably one way or another slowly, but surely being evaporating from our portfolio. And that transition from fossil to green is also work that is being done now. They are not also related to some cost and implementation changes. So that is why that unit specifically is experiencing the situation much, much worse than the rest of our business portfolio.
Max Yates: Great. Thank you.
Operator: The next question comes from the line of Weier with UBS. Please go ahead.
Sven Weier: Yeah. Morning. It’s Sven from UBS. First one is on Food & Water. Tom, I was wondering if you could give some more granularity, because the comment you made on dairy, brewery was a bit weaker, and you said at the same time, Q1 is going to be a bit better in food. Is that driven by sort of a recovery in those two or would you expect the brewery and dairy to stay softer than the other areas?
Tom Erixon: Well, we are going to have a huge challenge in brewery in Q1. I think here we booked or was it in Q2 we booked a large order. Sorry, my mistake. But we are going to have a comparison distortion on brewery this year since we booked the SEK700 million order last year. So comparative numbers will be a challenge. But no, I don’t see it so much as a specific end segment. Overall, the trend is positive. I think the open issue is how we will see the China development in this year. That is, I think, the strategic theme. We had a bit of a weakening tendency in China, as I said a number of times from third quarter onwards last year. And we will need to see now what happens with the business sentiment and the development in China after the COVID situation now it’s dealt with. So I think if we see a structural upside on Food & Water above and beyond what we have been experienced recently, I think, China is the place to look for.
Sven Weier: Understood. And if I may just quickly follow up on what you have said on the Marine Services earlier more forwards looking, because if we look into this year, we obviously have the IMO regulation on EEXI, CII potentially taking out some older capacity, which is maybe a bit more service active for you, but at the same time, the fleet is growing on the container side. I mean, have you formed an opinion yet how that could turn out for you overall net positive, net negative or too early to say?
Tom Erixon: No. I think in principle this is a net positive. You are right that the expectations on scrapping going forward will accelerate. We have actually been, I think, in 2022 on a historic low when it comes to scrapping good freight rates, ships coming to end of life was still worthwhile to keep on the seas. So I think, all in all, we have to expect that. No matter what we will see an increased scrapping and certainly related to the environmental regulation, this will be an acceleration. So, all in all, I think, this is -- it’s good for the planet. It’s good for our business and the Service. We are not particularly concerned on impact on Service. I don’t feel that the age of the fleet is the determining factor on this. The Service intervals are rather regular and I don’t see that the age profile on the fleet has a major impact on how the service will go in 2023.
Sven Weier: Okay. Thanks Tom.
Operator: Our next question is from the line of Klas Bergelind with Citi. Please go ahead.
Klas Bergelind: Thank you. Hi, Tom and Fredrik. And the first on the new investment ramp, it’s a big step-up, great to see obviously underpins the strong outlook. We know growth out there is broad-based. But is there, Tom, any particular area across heat pumps, carbon capture, data center, hydrogen and so forth, that sort of explains adding more capacity, because we obviously have the IRA, Europe is being stressed, want to do their own IRA, I mean, I just want to understand incrementally a little bit better?
Tom Erixon: Yeah. I think the IRA discussion is a little bit overdone. I think the U.S. decision is, generally speaking, good for industry. We are operating within U.S., as well as outside. So I think from the trade and point of view, I think, we should take it a bit easy and it’s good news, generally speaking, what the Americans have done and then, of course, there are some practical challenges on that. On the investment program for various reasons, we don’t want to be too detailed, but it’s clear that heat pump demand with key global key accounts is an important part of our investment decision.
Klas Bergelind: Okay. No. That’s good. And just a question for you, Fredrik. The Desmet, we knew that half of the annual sales would be recognized this quarter and that this should normalize as integrated into Alfa, the revenue recognition won’t be as conservative going forward. How will that change now going forward, is that already in the first quarter, which should sort of normalize or just help us a little bit about the phasing there now into the first?
Fredrik Ekstrom: It will be a normalization that will continue during the year. We won’t make any major changes simply because we are occupied with the integration of Desmet on a more structural level, and obviously, on a business level. So the financial part will happen during the year, but you will see towards the end of the year a more normalized percentage of completion in line with the Alfa Laval standards.
Klas Bergelind: Okay. That’s perfect. Very, very quick final one on Food & Water. Tom, it’s a solid underlying margin. Can I just ask if you had any impact from China, this was the division that saw most of the pressure during the second quarter during the lockdown and now we have the sick leaves as they open up, we hear that from others. Did this impact the revenues or margin in December for Food & Water?
Tom Erixon: Not too much. I -- we managed to operate reasonably well in China. So while we certainly did have an infection rate that was astronomical from December 1 to January 15 about, all in all, we managed the situation quite well. So I don’t think there’s a big rebounds on that from a delivery point of view…
Klas Bergelind: Thank you.
Tom Erixon: And then demand in market we will see.
Klas Bergelind: Yeah. Thank you.
Tom Erixon: Thank you, Klas.
Operator: The next question is from the line of Johan Eliason with Kepler Cheuvreux. Please go ahead.
Johan Eliason: Yeah. Hi. Just a minor question on your guidance on PPA amortization related to Desmet. In your guidance there, what have you assumed for Desmet going forward and then the step-down in 2024, is that mainly related to Framo or is there something else as well?
Tom Erixon: Well, it’s a normal aging of the step-up values or the price purchase allocation as you want to see it. So what we see is that a lot of the companies that we have acquired over the last 10 years are starting to fall out of that amortization, and therefore, you should see the drop in 2024, 2023 is still sort of propped up by Desmet, and of course, how we have done that evaluation of what is step-up value and what is goodwill, well, that’s an internal one.
Johan Eliason: Okay. Thank you.
Operator: The next question is from the line of Andreas Koski with BNP Paribas Exane. Please go ahead.
Andreas Koski: Thank you and good morning. So I want to come back to your CapEx guidance. You will invest almost SEK10 billion over the next three years. What impact will this have on your production capacity or sales capacity and what kind of payback time should we expect on these investments?
Tom Erixon: Well, it’s a very good question and there are obviously some concerns in terms of the degree of transparency we do on everything here. But we -- let’s say that, we communicated the decision. We already -- as you could see this year, last year, we were at about SEK2 billion in CapEx implemented that is charged to us, paid out and that’s the issue with adding capacity that the decision has a lead time until it’s completed. So I think when we reach the SEK2 billion where we -- and we are probably not going to be all that far away from that also in 2023, although we are upping it. It takes some time for us. But in general terms, it -- we are running at high capacity and it allows us the continuous expansion and growth story that we are in. But I am not going to give you a finite number as to where we will be capacity production wise three years from now. But this assures that we continue to grow at a good level in some of our core businesses and that was the first question. And the second question was…
Fredrik Ekstrom: What’s the payback?
Tom Erixon: What’s the payback. Let’s see, but let’s put it like this. Typically speaking, when we are evaluating investment proposals, the payback times in manufacturing that we tend to look at, at somewhere around six years. If it’s 10 years, it’s going to be a lot of sustainability related issues for us to go ahead. So you should assume that when we look at our internal rate of return and payback numbers, those are typically the ones that we are looking at. Then sometimes it’s a bit better and sometimes marginally worse, but around there. What I would say on this one, though, is that, we are in this package specifically relatively equipment heavy, which is a good thing. We have earlier worked with footprint investments where we had a reasonably high share of real estate versus equipment, and obviously, that’s not a good mix for payback. So in this sense, we can now -- and that’s why we are expanding in existing sites so that we as much as possible can optimize the share of equipment. It’s faster for us to implement and the payback is somewhat better.
Andreas Koski: Okay. Thanks. I think when you launch the bigger CapEx program the four years ago [ph], I think you mentioned at the Capital Markets Day that the return on capital employed on those core organic growth initiatives normally were about 50%. So you expect quite good returns also on the investments that you plan to do now I guess?
Tom Erixon: Your memory is very good.
Fredrik Ekstrom: Yeah.
Andreas Koski: Yeah. Thank you. And then my second question is on the backlog. It’s now standing at SEK37 billion and if you look at the composition of when the backlog is going to be delivered, it’s around 35% of the backlog that will be delivered later than 2023. And if you look at the backlog composition in previous years, it was closer to 20% to 25% of the backlog that would be delivered later than next year. What is explaining this change, is it specific business segment end market or have we seen lead times growing across many different areas?
Tom Erixon: Well, I would say that in general, we have an increase in lead times. But I would also say that, I would remind that for the year, we had a book-to-bill of 1.12, which means we have been building backlog during 2022. And certainly, that -- the backlog that was built during quarter four certainly then falls into the category of spilling over into 2024 and I think that’s more what you see in your backlog analysis.
Fredrik Ekstrom: We may also have a bit of an effect on Desmet and the order book we bought, which is a project business with typically somewhat longer lead times. So that may affect the percentage split a little bit as well.
Tom Erixon: That’s a valid point.
Andreas Koski: Yeah. Thank you.
Operator: The next question is from the line of John Kim with Deutsche Bank. Please go ahead.
John Kim: Good morning, everybody. Two questions, please. One, could you give us some color and commentary on capacity? At the Capital Markets Day, you talked about capacity constraints in certain growth areas, and perhaps, overstaffing, overcapacity in other areas. If you could just comment as to where you have seen improvements or growing constraints qualitatively? Second question on inflation -- wage inflation specifically, do you have a view for this coming year or the quarters as to whether that’s going to accelerate and how should we think about that? Thank you.
Tom Erixon: Yeah. The capacity balancing is, in my career, the most complicated I experienced in the sense that on the same day almost we are making our biggest CapEx decision in our history, and at the same time, we are releasing approximately 5% of our employees from areas, which is under changed. So this transition from something to something else is very visible in our business overall and it’s a very happy story but it’s also a difficult one for many parts of organization where we have big changes being happening as we speak. So, but of course, overall, it is a very good demand situation for the Group. We are -- the general comment on capacity, I think, is in the Marine Division, in general, we are quite well set when it comes to capacity. Although we are going high in some areas, we are quite well set. In Food & Water, if we look back, which is heavy on rotating, that has been actually a fairly heavy part of investments that we have done over the last few years and there depending on where demand goes, we may have somewhat of a better situation in 2023, but we certainly don’t have a lot of slack in that. So utilization levels are high, but at the moment, reasonably balanced. And the area over the last year and moving into 2023, 2024, which is just most concerned when it comes to capacity utilization is related to the Energy Division and predominantly then the Heat Exchanger part of our business portfolio. So that’s sort of the view on the situation.
John Kim: Okay. Helpful. And can you pivot to the question on wage inflation, please?
Tom Erixon: On wage inflation specifically?
John Kim: Yeas. Or how we think about that where are you seeing pockets of…
Tom Erixon: Yeah.
John Kim: … stronger growth.
Tom Erixon: Well, the -- I think, the jury is out how this economy will cool down by the central banks. At the moment, the labor markets are still very strong. As you know, in the U.S., there is still more open position than available labor. And so we are assuming for 2023 wage and salary inflation that is higher than normal. It’s not all that new to us, because if you operated in India, China and emerging markets, we are used to relatively high wage and salary inflation levels, and we are trying to work with productivity and automation the same way in those markets as in others although the actual labor cost historically has been lower. So it’s not -- my main concern for 2023 onwards is not related to wage and salary levels in terms of inflation. It is that we get some stability when it comes to currency situation, when it comes to commodities market and all that. And I think we are going to have to live with a shortage of the labor pool at least during 2023 and maybe onwards if the economy is not cooling more and that would be my inflationary precaution. With that, we have time for one last question. So, please.
Operator: The last question is a follow-up from Massimiliano Severi with Credit Suisse. Please go ahead.
Massimiliano Severi: Yeah. Hi. Just a quick follow-up for me, so -- which is connected to what you were saying before. Clearly, the order book that you have in Energy and Food & Water is quite large and you are adding capacity. So I was wondering if I think about the organic growth that we could see in 2023 and 2024 especially for these two businesses, how much can we expect this to be given your plans and given you have a capacity utilization already quite high?
Tom Erixon: If you knew me better, you wouldn’t ask the question. I will not guide you on the growth level. We -- what I would say is that, we have a corporate growth target of 5%. We achieved that over the last few years. We are investing in capacity, which should give you an indication that we don’t consider we are at the end of the growth journey. But when it comes to forecasting where we are going to be, I leave that in your knowledgeable hands.
Tom Erixon: And with that, I’d like to thank everybody. Sorry to cut it a bit short today, but you all have Johan’s numbers. So if there are follow-up questions, he will be on standby. Thank you very much.
Fredrik Ekstrom: Thank you.